Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Stephen Carter: 00:05 Well, good morning everybody. For those people who are in the room, thank you very much for coming in person. Gareth and I put a lot of preparation into this morning, but the most difficult bit was relearning how to make a time-out, which both of us realized we've forgotten how to do it. So, I'll leave you to judge who's got the better time-out. But thank you very much for coming and for those people who are joining us on the call, welcome to our 2021 Annual Results presentation. 00:34 As ever, this is the appropriate disclaimer that goes with any of the forward-looking statements that we're making. But unusually, and I think you'll understand why, we thought we’d just start today's discussion with a couple of comments on the macro environment because we are living in some quite extraordinary times. This business like many businesses and many people, but maybe this business more acutely than some has spent the last two years living at the sharp-end of the COVID pandemic. 01:09 We're still living it at different stages and places depending on where you are in the world, but there is an overwhelming sense that we're near the beginning of the end, depending upon on where you are. 01:24 We'll make some specific comments about what's happening in Mainland China at the moment later on in the presentation, but we've got enough evidence now in different geographies and different locations around the world to conclude that our strategy that we pursued with really quite some purpose for the last two years has seen move through a period of what internally we would have described as a survival process to a position where actually we feel we've really got some strength and robust future opportunities and that's been an extraordinary two-year journey for this company. 01:54 And so to the shareholders who are listening, who have supported us, really significantly through that period, we just like to put on record our thanks. But at the same time, as we see those changes in the impacts of COVID, we've got the situation that we're all watching as human beings and the citizens unfolding in Continental Europe in the Ukraine. 02:20 As a specific matter for us, notwithstanding our human reaction to it, we have no business in Russia, we have no business in Ukraine or Belarus, so it does not affect the company from a commercial perspective. Clearly, the macro uncertainty is a relevant fact. And at the moment, it's difficult to determine what the economic impacts will do to input costs for businesses and how that will or will not affect our business. So again, we'll touch on the practical implications of that. 02:52 On a human level, we've put in place a series of small, in the broader scheme of things, but nevertheless within the rounds of what we can do, our support mechanisms. We've made a donation as a company. We’ve put in place a support mechanism for those colleagues in the company, who are Ukraine Nationals, who have family who are directly affected. We're expanding the volunteering scheme for the many colleagues who’ve written to me and I know Annie and others indicating their desire to participate and support charitable efforts where they are. 03:21 We've also just put in place some matching scheme for anyone who chooses to join the host program and host the refugee family will match the Government support money through any colleague who participates in that. So, we're doing all we can at a practical level, small scale, but like everyone else, we watch and hope that there will be progress. 03:41 So, anyway, that's the macro environment in which we're all living and working in, but if we put those two things to one-side because our job in this company is to look at the next 3 years to 5 years and take a view about where the opportunities are, as well as the immediate challenges, macro or micro. 04:00 Where is this business operating? And we believe, our two businesses, our academic markets business and our B2B markets business operate in an economy and in a market that has got fundamental underlying growth vectors, which should give us a cause for confidence about market expansion, market opportunity, and potential for innovation if you have the wherewithal and the willingness to do that in a way that is effective. 04:29 As a consequence of our decision, which we outlined to the markets at the end of last December, Informa will become effectively a two-engine business, our academic markets business focusing in subject matters and areas and products and services, which allow us to distinguish ourselves both in the quality of our content and knowledge and also the manner in which we service our customers, not just our library customers, but also increasingly our researchers, our authors, and other customers. 05:02 And in the B2B markets area, again, we've made similar decisions about which markets do we choose to focus on and by markets I mean end markets, and what do we want to provide as a series of services to those customers in order to expand the share of the budget that we can legitimately add value to? 05:23 Why do we feel good about those two markets? Well, in both cases, it's a function of where are we today? What are the underlying strengths of the business? And what are the future opportunities of the business? We're having this conversation this morning, sitting here in London in the United Kingdom, but in truth, for neither of our businesses, are there anything other than truly international businesses? And if there are anything by geographic dominance, they are American businesses. The major footprint of both of our businesses is in North America. But equally, we have customers and colleagues in the major markets of the world where we see growth and opportunity. 06:04 In academic markets, we have depth in the specialist subjects in which we have a market position, we’re known as an HSS publisher, but actually we have real reach in science and medicine and also in emerging subjects in which there is significant expansion either in research funding or in knowledge. 06:04 We have significant reputation, not just under the Taylor & Francis brand, but also under some of the other sub brands within the business. We have, I think if not the best, one of the best efficiency operating models in that business and will recognize the section that allows us to be able to absorb new product, new brands, and new capabilities with a high degree of operational efficiency. 06:48 We've got a significant base of subscriptions revenue, which gives us real strength. We are building in real time digital infrastructure, and under Annie’s leadership that has really accelerated over the last three or four years, and it will be an area of investment as a result of the reallocation of resources post the divestment from Informa Intelligence. 07:09 We're building out our position in Open, in Open Access, in Open Science, and Open Research, and fundamentally at an operational level, the business if you stepped inside it today is a digital first business. It's not a digital add-on business. And there are opportunities that sit alongside that expansion in markets, international expansion, expansion in funders, expansion in open research, and also expansion in professional and self-learning, all of which we’ll return to later. 07:38 Similarly in B2B markets, equally in international business with a very strong footprint in North America, but International reach in China, in the Middle East, and in Continental Europe. Similar strength in specialist brands in specific markets, there are 20 to 22 markets where we've chosen to play. And one of the advantages for us is, we're still relatively new in this market. 07:59 And so, by and large, we haven't arrived in the end markets that we're servicing. By accident, we've arrived by choice and the businesses that we did by when we were building this platform, we did not buy by accident, and we were purposeful about what were the features of the end markets that we thought were most attractive for us to serve. 08:20 One of the discoveries of COVID, which in truth, I think if we discovered before COVID, we might have thought was a weakness, but actually we've discovered as a strength is that the significant majority of the trading revenues in this business are domestic or sub-regional. They're not dependent upon international and transcontinental travel with probably the exception of our business in Hong Kong. 08:40 We have very, very significant production capabilities. We are the largest operator in this market and we've built a machine for running large scale products in multiple locations around the world, which really is best-in-class. Another discovery from the COVID experience was that our first party customer data was vital to the future health of this business, and we used the cloud of COVID to invest early in building the architecture of a data warehouse capability, which would enable us to then roll-out profile and segmentation product and service to our existing businesses and brands to allow us to expand our share of that market, and that will serve this company extremely well in years ahead. 09:32 I'm sure we'll get into the whole question of hybrid versus digital events on the calls earlier the small morning. That was a constant question. Live and on-demand is, kind of how we're thinking about it, and live where it's back is more than back and on-demand is going to be a permanent feature. But are they substitution, are they additive? Our experience is their additive. And that speaks to where we see the opportunities. 09:55 We see live events returning. We'll exemplify that. We see smart event technology being a table stake, if you want to be a serious international player in this market. And we see the need for first party data, specialist content, and real audience profile analysis is being essential to the future of the business. But to go back to go forward, where were we in 2021? 10:19 Well, if we had known in January of 2021, given what we were facing back then, this is where the company would complete the year, we would have taken this and some. We finished the year with essentially growth in every conceivable metric, in revenue and profit, in earnings and importantly, in cash and the cash in particular is a mixture of the increase in revenue and then the flow through significant attention and operational discipline around cash management, cash collection, and cash conversion, but also the increase in forward bookings in the back end of 2021, which speaks to the forward momentum into 2022. And all of that ended up producing a very strong cash position at the end of 2021. 11:06 Our overall leverage position is robust. We're now down at just about 2.8x geared. We were over 5.5x geared this time last year. So, we've significantly de-risked the balance sheet and those numbers and multiples are before any proceeds come in from the divestment program, which is underway. 11:28 We started early. We made the decision post the Capital Markets Day in December for those of you who were here for that. That we would move at pace and that speed would be our friend and so it has proven to be, both for the business because it minimizes the distraction and also for certainty, both for us and for shareholders. 11:51 So, we announced and signed the agreement to sell our Pharma Intelligence business to Warburg Pincus at a valuation level, which we believe speaks to the value that we've created, but also allowed us to retain a minority stake of some significance, 15% because we like them see the forward value in that business. So, it ends up. I think being a win-win for almost everybody involved. 12:16 That transaction is on task to complete during May, latest June first. And we have begun the process of the divestment activity around our finance intelligence business and then we'll turn to maritime. 12:33 As a consequence, as well as that portfolio focus on academic markets and B2B markets, it gives us a very strong balance sheet because we're taking effectively value out of the non-core business, which was Informa Intelligence and investing it in the two core businesses and that will also allow us to further accelerate the growth that we can see coming into 2022. 12:56 So, here is it by divisional summary. You see a steady, but further strong performance in revenue growth from Taylor & Francis, and really a stellar performance from Informa Intelligence, both going into 2022 and we believe that that has some underlying structural fundamental trends that will continue on a forward basis. And we're seeing that, I think in the value that potential buyers are seeing in those assets. 13:22 So, we believe our timing was absolutely right to make that divestment move at this stage. The aggregate performance in our B2B markets business is about 8% underlying growth, and we see that growth significantly rising again in 2022. 13:42 So, where that leave us going into 2022 in these two businesses. GAP II is part of a modernization program that was structured and authored by Annie and the leadership team in Taylor & Francis some three, four years ago, where we've seen progressive investment already in T&F online in our content capability, in our product management skills, in our approach to marketing customer segmentation, data, smart with inside the business, and also at the same time taking cost out of areas of the business where we can do things through automation and efficiency and then reinvesting that in areas where we see growth. 14:21 We see a significant and robust future in Pay to Read. It's not going to be what it was 10 years ago, but it is not disappearing overnight. And it is being more than replaced by an opportunity in Pay to Publish. If you lean into Pay to Publish in a way that allows you to both expand the market and innovate in the way in which you're providing services to customers. 14:42 We're targeting a 4% plus growth rate in this business by the end of the GAP II program and we feel confident in that forward commitment. In B2B markets, we see a progressive and confident return in live and on-demand. We are in between 20 to 30 specialist end markets, and we're very focused on building our position in those end markets. 15:03 I get asked constantly, are we on the acquisition trail for large scale [event] [ph] businesses? I feel we've said many, many times our focus is on building scale in end market verticals. And we're doing that, we've done some of that through COVID. We actually added to our beauty portfolio, we added to our luxury portfolio, and we will continue to do that to round out the service offering around those end markets where we have strength. 15:29 We see encouraging trends and I'll pick those for you in a second. We've invested significantly in IIRIS, Max Gabriel, who many of you heard from during the Capital Markets Days here today to take any challenging questions, Max. And we've made significant progress in building out not only the underlying, kind of technology stack to be able to provide the service that each of the B2B market businesses need, but more importantly, to then develop the products and services that come off that to enable us to monetize in revenue in 2023 and 2024. 16:05 Just to get into the specifics of live and on-demand events because I suspect that people would have legitimate questions. This is a sort of snapshot of how you might think about it? What we have seen around the world. You could choose other criteria, but these are ones that we track. So, we'll give you a flavor of it. You can look at it through the lens of, is the market open? What does it look like in terms of attendee participation? What does it look like in terms of exhibit of volume? What does it look like in terms of forward bookings post an event? Are 2022 trends better than sorry, 2023 trends better than 2022 and 2021? 16:41 Our new launch is fairing because maybe it's easy to bring back a classic that everybody knows, but can you bring a new product to market with the same confidence? Is it harder to innovate in this market post-COVID? International participation is that a major drag and how is 2022 racking up against 2019, which is the kind of when are you going to get back to 2019 levels question that people understandably have? 17:07 And this gives you a sense of how we are seeing the market playout by geography, in North America, in the Middle East, in Europe, in Mainland China, and then in [Asia] [ph] and Hong Kong. And the place were, in terms of open markets where we've got an amber or red, the remaining amber or red is in Hong Kong and Mainland China. 17:28 Hong Kong, I think has got some very specific issues, which had to do with both the combination of COVID and the dependence upon international trade flows. And so, we've made some decisions therefore going into 2022 to effectively move the international version of our international events to other locations for 2022, just to give us a mitigation and a de-risk of exposure to Hong Kong in 2022. 17:53 So, our Beauty Show, our Jewelry Show, our Leather Show, all of which were due to run in Hong Kong in normal times. We're taking the international version of that to other locations: Dubai, Singapore, Bangkok, and to give ourselves some confidence. 18:07 Mainland China, slightly different. You would have seen some of the news coverage I'm sure. It's going through a period of case spike at the moment in different locations. So, We've seen closed conditions, control conditions come into play in different parts of Mainland China. We actually experienced that in both 2021 and in 2020. So, it's not that we haven't seen this play out before. 18:28 We've done what we did in both 2020 and 2021, which is we've condensed our program into the back 6 months to 8 months of the year, and we've optioned alternative dates and calendar locations to enable us to have some optionality to allow more of a close period in the front-end of 2022. 18:49 To give you some harder numbers, this is a kind of real specifics. I've been out and around the business in different parts of the world for the last couple of months. And as I said before, where events are back, where live events are back, they are more than back. And whilst, if you wanted an aggregate from our experience. I think the aggregate would be the absolute attendance level is slightly lower. 19:15 Quality and concentration of buyers is as good or higher. And so the performance of the product in category is extremely effective and then you see that in the forward booking numbers. And this gives you some idea of – this is the Top 10 brands in 2022 to date. So, we're here in early mid-March, and we've already seen a scale audience nearly 400,000 participants over 4 million net square feet. This is back to volumes that certainly in the middle of 2020 or early 2021. There were understandable question marks about whether it would return. 19:57 And just to give you a sense of, does this work for launches, as well as established brands? We had two major launches at the beginning of 2022. We had one in the Luxury market, the Miami International Boat Show, which was a combination of a show that we had that existed already and another show that we bought during the COVID period, we combined them together, re-branded it, and then re-launched it nearly 2 million net square feet of inventory, an extraordinary new product in a market that's already well served by a significant product much of which is already our brand in our brand portfolio. 20:32 Similarly in the Enterprise Technology market, we had worked in partnership in the Kingdom of Saudi Arabia as part of their liberalization strategy. They are opening up investment in horizontal technologies, both the businesses and for consumers. And this was a technology show of comparable size and scale to any technology event that we run in our existing portfolio, over 100,000 people. 20:56 It was fully integrated, content, live, on-demand, and leap will now be a firm calendar event in the technology calendar going into 2023 and beyond. By contrast, Health & Nutrition Natural Products Expo, if you're in that market, if you're in the innovation end of food and food production, Natural Products Expo has been a go to event for many years. It was probably one of, if not our single largest event back in 2019. Didn't run in 2020, didn't run in 2021. So, it's been off market for two years. Came back last week all guns blazing in terms of volume of participation, both in terms of attendees and exhibitors and industry response. 21:44 So, an interesting insight into whether or not the market has changed structurally for launches or traditional brands. And in summary, we see the intimacy at scale benefit that you get from live, sitting very comfortably alongside on-demand, and for small-to-medium size enterprises, for product launches, for business development, for gaining distribution, for price discovery, or indeed to add-on highly efficient internal company meetings or customer meetings at a point where people want to limit their travel budget to one event, the product is scoring well on our NPS scores across the board. 22:27 And just to underscore that all of this is underpinned by our approach to sustainability. We've been quite rightly focused on sustainability, what people often now refer to as ESG or part of ESG for the last six to seven years. We were delighted last year to see the company achieve peer group leadership, ranking in the DJSI index amongst all peers globally on their sustainability index. And we are further accelerating our commitment on FasterForward, which I'll come back to later. 23:05 GAP II therefore is well underway. We've made the decision that our future is in our two main markets, academic markets, the B2B markets. In both of those businesses, there is a commitment both organically and inorganically to invest the innovation in digital capability, service capability, product capability and delivery capability for customers. That's also changing our approach to talent, both talent development inside the business and talent recruitment, changing our view of investment, both inorganic investment and organic investment in the business. 23:39 Our commitment to shareholder returns remains as outlined, combination of buybacks, which we've started, and dividends which will resume, and our commitment to sustainability and all of those elements have got to – what give us confidence in our future growth projections. A little bit more color on the divestment process. 24:01 The Pharma business, Citeline, [culinarian] [ph] Trialtrove, that has now gone past agreement. We're going through some regulatory clearance in some markets. We're not anticipating any issues. So, we expect that to close in May or June. That would result in – because of our 15% shareholding, about 1.7 billion of pre-tax proceeds, and that will then afford that business the opportunity to drive to growth in scale, and we look forward to being part of that future growth. 24:37 We started the buyback program already. We committed to 100 million on the day of the announcement of the completion of the Pharma. And today, we've confirmed that another 200 million and then we will continue after the receipt of proceeds in May or June. The process for financial intelligence, which is the next business that we are engaging with the market on is, already underway. 25:03 We've appointed advisors, we’re engaged with counterparties, and we look forward to updating the market with progress on that when we have our AGM in June. 25:13 Just a little bit more color on FasterForward. For us, we sort of think about it in this way. First of all, what's our commitment on zero faster to zero, where are we at the moment, already rated as a carbon neutral company, already fully compliant as a carbon neutral publisher in the shape of Taylor & Francis, already committed to renewable electricity as a corporate, as a user, and we have what we call a better stands approach, operational approach, which we're rolling out across the entirety of our events portfolio between now through to the end of the GAP period. 25:48 Materially, we're also looking at where we can do more on impact rather than just our own direct business through sustainability inside, either in research, in publications, in content, in access or in events in exhibitors or in content in our B2B markets event. And that is actually an area where we believe we can probably have more net positive impact than just the actual cost side of the sustainability equation not to deny that that's important to get right. 26:21 And then there is the impact multiplier by the hyper efficiency that goes along with consolidation by limiting your travel choices to maximize your impact by using participation at the, kind of intimacy of scale benefits of participating in a large scale B2B event alongside which you can then do a significant range of other things. And then underneath that, there are some cultural commitments inside the company, alongside volunteering, diversity, further expansion, greater attention to equity and inclusion fundamentals and an ongoing commitment to charitable activities and match funding of which sadly the most recent example is our commitments on the conflict in Europe. 27:12 As I say, underpinned by rankings and all the relevant indices of which there are a number, and whilst they continue to consolidate, we have decided to focus on the ones that are here, the MSCI index, the science based targets, the CDP rankings, and the Dow Jones Sustainability Index. And those will be the ones that we pay attention to in the near future and seek to maintain our performance. 27:35 On that note, I will pass over to Gareth. Gareth?
Gareth Wright: 27:41 Thanks Stephen. Good morning, everyone and thank you for taking the time to join us today here in 240 Blackfriars in London for the results or on the webinar, if you're watch live on webinar or watching on-demand later. I'm going to start off by talking you through some of the headlines in the 2021 full-year results, and then I'm going to pick a bit more detail how we're using our balance sheet strength to both get momentum behind the growth acceleration plan, two investments that we've started in earnest, and I'll show you some examples what we're doing there. But how at the same time using that balance sheet strength to accelerate returns to shareholders through a restart of the dividend and the commencement of the share buyback campaign. 28:28 So, we pick up, first of all the headlines of the 2021 full-year results. What we can see is that we are reporting revenue growth, increasing by – revenue increasing by 8.3% year-on-year to about £1 million short of £1.8 billion worth of revenue. This represents underlying revenue growth of 6.1% for the group overall, which is driven by the 8.2% growth in the B2B markets and digital services businesses, but also supported by further acceleration of the underlying revenue growth in both Taylor & Francis and Informa Intelligence. 29:04 This underlying revenue growth has three main dynamics in 2021, a robust return in live and on-demand. Events revenue is particularly in the second half of the year, supported by strong performance in the non-events revenues in our events businesses, including an increase in B2B Digital Services revenues and further supported by a strong performance in the subscription led businesses, driven really by great performance year-on-year in terms of forward booked subscriptions. 29:34 Adjusted operating profit increases by almost 46% to £388 million in the year. And these full-year results deliver on our market guidance that we gave in the second half of 2021, both in terms of reported revenue, where we said, we would be at 1.8 billion, plus or minus and also reported [or paid] [ph], where we're actually a touch ahead of the target of £375 million that we outlined in the year. And the increasing operating profit together with the lower cost of financing increases earnings by 70% to 16.7 pence per share for the full-year. 30:12 Our conscious and deliberate focus on cash really yielded results in 2021. Free cash flow increased to £439 million, actually well ahead of the reported operating profit of £388 million, driven by a strong performance in working capital. And I'll come back and outline a bit more color on that in a minute. 30:32 This free cash flow together with the disposal proceeds generated in the year reduced net debt by about £600 million in the year to a closing net debt at about £1.4 billion, and the reduction in debt together with an increase in our EBITDA reduced our leverage from 5.6x at the start of the year to 2.8x by the end of the year under what was previously our long-term top target of 3x leverage. 31:00 Finally, this strong cash generation, together with the strength of balance sheet gave us confidence to two things. First of all, it gave us confidence to start the share buyback program on the 10th of February, when we announced the pharma transaction rather than waiting for the proceeds to come in, in late May, early June. And it has also given us the confidence to restart our ordinary dividend program from the half year 2022, which we had suspended for the period where the group was impacted by COVID. 31:31 So, if you look at the income statement, I need to work down that in a bit more detail. Revenue of £1.8 billion and OP of almost £390 million produces an operating profit margin for the full-year of 21.6%. This is an increase of just over 5 percentage points year-on-year, and as long as double or just over double the operating profit margin that we reported at the half year 2021 with both improvements really driven by the return of live and on-demand events in the second half of the year. 32:01 [Time] cost management was clearly a focus at the start of the year, plus we've progressed through 2021. We've looked to start again in terms of targeted appropriate investments in the businesses to do two things, both to support the return of live and on-demand events in a quality way in those businesses, but also to support the activities in the businesses to make sure that the growth acceleration plan too launched in the second half of 2021 with real momentum into the New Year. 32:30 Adjusting items reduced materially year-on-year with a lower number of COVID-related exceptionals in the year, but also a big reduction in impairment and also amortization charges year-on-year. Finance costs reduced year-on-year, as well as two things. First of all, the lower average net debt levels in 2021 when compared to 2020, but also the mix benefit of replacing USPP financing at the end of 2021 with more cost effective EMTN financing. 33:03 The effective tax rate for 2021 is 17%. This is an increase on the 15% ETR that we saw for 2020 as profits and higher tax jurisdiction areas such as the U.S. and China come back online with a restart of larger on-demand events. 33:20 However, it is lower than the medium-term average, ETR that we saw pre-COVID of 19% as we see continued lower level profitability in the events businesses and also some of the fixed tax deductions that we have elsewhere in the group have more of an effect when they are a greater part of the mix in the business. 33:39 Our guidance for ETR in 2022 is probably returned to more like pre-COVID levels of 19% going forward as the business begins to trade at a more full level. And finally, the non-controlling interests increase year-on-year, principally as a result of the restart of live and on-demand events in China and Asia, which is where the majority of these non-controlling interests exist. 34:08 So, going down the divisions, I’m starting to unpick the revenue performance and OP performance in a bit more detail on a division by division basis. In B2B markets and digital services, which encompasses the Informa Markets, Informa Connect, and Informa Tech Businesses, underlying revenue growth was 8.2% for the full-year. We saw a progressive return of live and on-demand events across the second half of 2021 as we talked about both of the couple of Markets Day in December and today, and this momentum is really continuing into the first half of 2022. 34:40 We're also seeing increased performance and demand for digital services underpinned by deeper diversification of our products So, for example, in full markets extending its existing audience development products to additional customer markets across the second half of the year. And we're seeing a solid performance in our non-physical revenue streams, including good ACV subscription performance in Informa Tech’s Omdia brand. 35:09 In academic markets and knowledge service, Taylor & Francis is delivering consistent and improving results. Full-year revenue growth improved to [2 point] [ph] – underlying revenue growth improved to 2.4%, which is a touch ahead of the 2% plus guidance that we gave at the time of the CMD. And the drivers of this improved performance are really a combination of further expansion in open research services, a robust performance, and Pay to Read subscriptions and continuing eBooks momentum within advanced learning. And you'll remember from the Capital Markets Day, that these are all areas that are receiving growth achieving investment through the growth acceleration Plan to Program over the next couple of years. 35:49 Informa Intelligence delivered a strong trading performance in 2021, which has continued into the first quarter of 2022. Underlying revenue growth was 6.5% for the full-year in 2021, which again was a touch ahead of the 6% plus guidance that we gave at the time of the Capital Markets Day. 36:08 Subscriptions have been encouraging and we continue to see strong ACV growth across all verticals in that business. And the profit margins, I should comment on briefly, which is still a healthy 31.5% for the full-year is a touch down year-on-year, reflecting the weaker U.S. dollar in 2021 versus 2020 and also a change in portfolio mix, trading mix over time. So, all that adds together to deliver 6.1% underlying revenue growth of the group and 36% underlying adjusted OP growth. 36:46 The next line is a bridge from our reported growth or underlying growth to our reported growth for both revenue and adjusted operating profit. And we're going to explain why for both of them, the reported growth is actually a touch ahead of the underlying growth. 37:02 Year-on-Year phasing benefits the reported growth because 2021 year is the up year for biennials in both Informa markets and Informa Connect. So that makes a reported growth stronger than the underlying growth where we adjust for those biennials. 37:20 The net effect of acquisitions and disposals added about 200 basis points to both metrics, really driven by the acquisition of Novantas and trial scope, partially offset by some of the disposals in the Informa Intelligence business. 37:35 Finally, currency was a headwind on reported revenue growth or reported growth in 2021 following the [$0.09] [ph] devaluation to the U.S. dollar versus sterling year-on-year. And this is a greater percentage impact on our adjusted operating profit, because of the waiting towards U.S. dollar revenues and are waiting towards sterling costs, which obviously don't revalue when the dollar moves. 38:03 Moving on to free cash flow from the start of the year, keeping the group cash flow positive, it was a real focus for us as management team, particularly for me personally, because what we didn't want to have to do in 2021 was go back to the capital markets in any way, shape or form to ask for more funding. So, it's really vital that us as a group lived within our financial parameters and lived within our means in the year. 38:26 To deliver that, there was a significant conscious and deliberate focus on all aspects of cash generation within the business, be it in a cash flow reporting, cash flow forecasting, incentives linked to cash flow, and a real day-to-day week-to-week focus both at the group treasury level, but also through the divisional finance teams on where we were on collections, payments, and anything else that would generate free cash flow in the business. 38:52 In the latter stages of the year, I think fueled by the confidence in return of live and on-demand events, [both in terms] [ph] 2021, and also in terms of confident looking into 2022, we saw significant working capital inflows in the business as customers booked up in advance of the events. 39:12 And as we already generated the ultimate acceleration of the free cash flow for the full-year to almost [£440 million] [ph] well ahead of the OP that we generated in the business, and well ahead of the, kind of expectations we had at the time of the Capital Markets Day at the end of the year. And this improvement year-on-year and the reported free cash flow generates almost £600 million more free cash flow than we generated on a reported basis in 2020. 39:41 In last year's results, we really talked about the significant progress made in 2020 around the stability and security of the balance sheet as we came through COVID. And [one other work] [ph] that we did in 2020 really has given us in 2021 is a position of strength and flexibility that we can now use going forward in a more proactive way as we begin to move beyond COVID. 40:08 The strong free cash flow in the year of – strong free cash in the year of almost £440 million together with disposal proceeds reduced net debt by about £600 million year-on-year to £1.4 billion at the end of the year. And the reduction in net debt coupled with the fact that none of our financing positions matured in the year, means all available liquidity has increased from around about 1.3 billion at the end of last year to £1.9 billion at the end of this year. And that available liquidity to be clear is in advance of any of the receipts from the Informa Intelligence divestments. 40:47 So, following the actions taken in the balance sheet in 2020, there are no financial covenants at a group level on any of the group level borrowings, and the lower net debt together with improved leverage for improved EBITDA has reduced our leverage at year-end to 2.8x pre any divestment. And following the actions taken in 2020 also our weighted average cost of debt reduced to 3.7% for 2021. 41:16 Since investment, its balance sheet to strength flexibility enables us to invest for growth through the growth acceleration plan too. The headline financials there on the left hand side of that chart are being reconfirmed. I’m reconfirming what we said at the Capital Markets Day in December. So, nothing has changed in terms of our outlook around the quantum of investment, but also the returns that we think we can generate from that investment through the program. 41:40 Our investment program is well underway with this proven GAP governance and approval processes that we learned through the Growth Acceleration Plan I in effect and operating again around GAP II. I'm just going to outline two of the main projects that we started to give you a bit of a flavor of what was spending the money on at the moment through the investments. 41:59 So, if you attended the Capital Markets Day, you will have seen Max present on IIRIS, which represents an expansion of our B2B customer data and analytics platforms and capability across the B2B markets businesses. That expansion will embed technology and services across more than 10 new vertical market businesses that is not at the moment, and I'll expand our data, our KEMA, our known engaged marketable audience from 10 million records at the start of the year to 14 million records by the end of the year. 42:33 Another platform of capability we're investing in is our Smart Connections Media platform. This is a single platform to be used across all our B2B markets, market services, businesses and brands. It's used to present and produce managed specialist content and media across those businesses, and will attract and grow the engaged audience via the IIRIS Passport functionality that we outlined previously. And that’s now rolling out across Informa Tech and across – right across Informa Markets. 43:09 And the balance sheet, strength of flexibility that I've talked about also enables us to accelerate shareholder returns. We announced in December, the intention to return, up to a billion pounds worth of embedded value through the GAP III Informa Intelligence divestment process. I'm going to give a strong start to that through the Informa Intelligence pharma disposal that we announced on the 10th for February, just over a month ago. 43:34 As our balance sheet strengthened flexibility that enables us to start the share buyback program in advance receiving any of the proceeds from that investment. That's what we've done. So, Tranche 1 of the program, ran from about the 10th of February to the 10th of March and has repurchased and canceled about 70 million shares over the period of that time. And today, we're announcing Tranche 2 of the share buyback program, which is the purchase and cancellation of a further £200 million worth of shares between now and the AGM in mid-June. 44:08 So, between those two Tranches, we would have returned £300 million worth of value to shareholders, and more to come once we complete the Pharma Intelligence divestment process. And the other thing, the balance sheet strength and flexibility enables us to do is announce the restart of ordering dividends to shareholders from the half year 2022 results. 44:31 I'm going to conclude my section of the presentation by reconfirming the 2022 guidance that we announced at the Capital Markets Day in December. So, what we said in December is the left hand and center box of what you can see on the screen there. The left hand box, including a full-year of Informa Intelligence in the year. The center box, excluding Informa Intelligence on a full-year basis in 2022. 44:58 Updating that guidance today on the right hand side, we are both updating for the Pharma Intelligence disposal timing, which we see as being late May, early June, and we're also outlining what we think some assumptions around finance, which as Steve mentioned earlier, we're expecting to divest sometime late summer in terms of 2022 and maritime will probably be here towards broadly the end of the year, 2022. 45:24 If you think that pharma and finance are the two – the majority of that business, the fact that they're both leaving about halfway through the year makes no surprise that the guidance we’re updating you on today is broadly halfway between the two scenarios that we outlined at the Capital Markets Day. That kind of makes sense overall in terms of the shape of the updated guidance. 45:45 So, those are the financial headlines and what we're doing with the balance sheet around accelerating returns and investment. I'm now going to hand back to Stephen [indiscernible] can talk you through a bit more color around the GAP II program.
Stephen Carter: 45:59 Thanks, Gareth. Thanks very much, Gareth. Right, I'll do this at a reasonable click, so we can get into questions both in the room and for anyone who’s on the webcast, and I'll leave [Marion] [ph] on the on the webcast to explain how you ask a question if you want to. 46:22 So, this is our GAP II program. It's not to say that there aren't some continuing impacts from COVID. There are, and we've touched on those. It’s not to say that we're not alive to the current macro events that are happening in the world, we are. But our focus very much is on what do we do with the company over the next three to four years to get it back into good health in terms of growth and acceleration of products and service innovation? 46:49 And the lead horse on that is our academic markets business, and really I think Annie would describe this as a balancing act. How do you gear shift to the future where there is an opportunity for expansion in funding expansion in products and services, expansion in offering products and services direct, to the end research of the customer, as well as maintaining a position in engaging with our institutional library and academic institutional customers. 47:18 Some people regard that as subscriptions versus open access, but the way to think about it conceptually is, how do you get that balancing out between the existing market, the expanding market, and then where are the new opportunities? And the essence of our confidence in this business is our ability to be able to balance between those three things. That you want to put it in negative terms that the [indiscernible] curve in the traditional products and service provision in academic publishing and advanced learning, in research and in journals actually, with a combination of innovation in the service, greater use of data and usage tracking, and also flexibility in the way in which institutions are able to contract with those has enabled us to maintain our position in the Read and Publish market with greater confidence than I think many commentators have believed over the last, certainly 10 years or so that I've been around the business. 48:17 The shift into Pay to Publish is offering an expansion opportunity both for our researchers and for our users, and indeed an expansion in provision of funding, and that's demanding a change in the product mix, and then there's an additional opportunity for us in new budgets, which will cause new capabilities in research to services. Get that balance right, you then have a business, which can deliver the, sort of accelerated returns that we require. 48:45 That requires the business to run to a much more diverse and sophisticated dashboard of performance of delivery of mix between analog and digital between institutional and retail between intermediaries and direct. And if you get that balance right, that enables you to be able to bridge from the past and into the future, and it's our confidence in that that is what underpins our belief in the future power of this business. 49:12 Similarly, in the B2B markets, the same applies. COVID was a moment in time, which raised a whole series of questions put at the most extreme, would anyone do anything other than sit looking at a screen for the rest of their lives? Or a more measured question of, would there be a fundamental change to the pattern of travel of commercial transaction behavior? And would fundamentally the structural role of the trade show be undermined by a period of absence? 49:47 The evidence that we are experiencing in many markets, verticals, in many geographies is, there is no evidence of that. In fact, there is counter evidence to that, but if you can balance the mixture of live and on-demand, again, you can bridge from the existing market into the new market, and we will be moving across the entirety of our portfolio to ensure that we're offering a live and on-demand product service with embedded digital service capability in the physical product because you need that in the back-end to be able to deliver the scale product, and then there's a new market to move to and that requires an extension of capabilities, and underlying commitment to data to its accuracy, to its validity, and then you convert that into products and services to be able to add more value to your B2B customers than just simply as a provider of simple tradeshow events. 50:37 IIRIS, we talked about as some length and backs it way better than I did, but fundamentally, this is required us to recognize that this power in our data and that power requires, investment requires capability, and it requires accuracy, it requires consent, and then you need to profile it, then you need to segment it, then you need to analyze it, and then you need to serve it up in a service format that enables you to be able to provide relevant information to B2B marketers who are seeking to identify buyers who are ready to move to purchase intent often in significant transaction scale. And that really is the essence of what we're doing. 51:13 We're taking the raw data at the top of the funnel, moving it down, qualifying it, turning it from unknown to known, turning it from known to engaged, turning it from engaged into something that convert into a monetizable product or service. That will take time. We are focused around our end markets. We've taken four lead markets as the lead horse for deployment: Aviation Agriculture, MedTech and Tech. 51:38 Interesting markets for us because their markets were by and large, we have a set of content assets, as well as trade show assets, as well as data assets around those end verticals. And that will be also where we are investing our inorganic investment in expanding our ability to surround an end market and also capture further knowledge and information and then we'll roll it out to infrastructure health and nutrition, fashion and food, and not necessarily in that order. 52:09 We did make one small inorganic acquisition in this area. At the back end of last year, we bought a U.S. Business called NetLine, essentially NetLine does some version of these new services in the enterprise technology market. It's a content syndication and lead generation business, essentially it syndicates content of a publisher network, a B2B publisher network, not an academic publisher network, but the technology applies the same. We're plugging our media, B2B media content into their publisher network. 52:36 So that will drive more audience that then generates audience data, and then they turn that into two products. One's a self-service serve product for B2B marketers, and the other is a subscription product for B2B marketers, both of which do the same thing, which has enabled B2B markets to find active, alive, engaged, and intent driven audiences to make their marketing activity more accurate. 52:59 The integration of this is working extremely well. We're doing it in our tech business because we think we're dealing with an end market there. Who’ve got a level of experience and sophistication in using these products that has made it easier for us to both learn and implement. 53:15 So, in summary, where are we? 2021 is long over, but actually we feel good about where the company landed and certainly I feel extremely proud of what the company did over a two-year period. I feel, passionately that we've moved through a period of survival, to a period of strength. We made a decision to come out of the intelligence market to focus on our two core markets that will serve us extremely well. 53:40 Both those core markets, and those brands have got end market opportunity and internal capability. We will have the wherewithal to make investments in-organic investments in organic investments. We will have wherewithal to be able to give shareholders a meaningful return either by reducing the share count to make the EPS more attractive for shareholders and reduce the absolute volume of shares that we issued in order to navigate our way through COVID and to return to dividends because the cash generation features of this business rightly demand the level of dividend discipline, although it will take us a couple of years to get back to the, sort of dividends that people might have thought previously. 54:20 We have the wherewithal to be able to invest both in organic capability, technology, systems, absolute talent, and development of skills within the existing business. And I think we're looking at opportunities over the next three years that excite us externally and we're doing a lot of work at the moment scoping those opportunities, but we will be extremely disciplined about where we choose to deploy our available resources. 54:50 That's it. In summary, a focus business, a strong balance sheet, accelerating growth, and confidence over the next three to four years. I’ll throw it open to questions.
A - Stephen Carter: 55:01 I'm going to start in the room. Can I just check with the conference operator, if I may, [Marianne] [ph] can you hear me? [Technical Difficulty] she just have to hear me?
Operator: 55:14 Yes, I can.
Stephen Carter: 55:15 You can. Great. Okay. So, I'm going to start with questions in the room first Marianne and then I'll come to you on the call if that's okay. So, why don't we just – I'll leave it to you [indiscernible] I don't offend anyone.
Annick Maas: 55:27 Good morning. Annick Maas, Exane BNP Paribas. My first question is on China on exhibitions. If you could just give us various internal scenarios you have, how you think about China for the rest of the year? Then on intelligence, you've essentially given us a timeline on when you're going to dispose the remaining assets, could you give us a bit more information about how these discussions are going with whom what sort of price levels we talk? And then finally, in terms of pricing for events, can you tell us how the pricing differs if you have had the event last year versus you haven't had it since COVID? Thank you.
Stephen Carter: 56:04 Okay. Thanks, Annick. Well, why don't I, I think hopefully can take those and Gareth come in if I get it wrong. On China, I mean, the way we think about China, the way we operate our business in China is, Mainland China and Hong Kong. Hong Kong is really quite different because it is predominantly although not exclusively our international market for reasons that will be obvious to you and to others. And the challenges that we're being faced in Hong Kong were in existence when we were planning our way into 2022. 56:34 So, we made a decision as part of the budget process really for 2022, but for the major international brands, we would create an event offshore for international participants during 2022 and that's already baked into our guidance. So, in essence, we have already de-risked the budget plans for Hong Kong taking the remainder of 2022 to return to some version of next normal. 57:00 Mainland China different, Mainland China is currently going through a spike as everyone will attract, which varies depending whether in Shanghai or Shenzhen or Guangzhou, wherever you are in the Mainland, that will have the effect we believe of condensing the trading year. 57:15 We experienced that in 2020. We only had a six-month trading year in 2020. And I think the business in 2020 did about 80% of what it did in 2019, and probably we had about a 10-month trading year in 2021. Based on what we know today, which is probably a little bit more than maybe some people, but not much more because it's emerging in real time. It probably might be a 6-month to 7-month trading year in 2022. And we've adjusted to that, but you'll see in our guidance, we've given a range – a revenue range and if that were to be worse than that, then will be near the bottom of our revenue range than the top of our revenue range and we've kind of adjusted for that. 57:53 So that's how we're thinking about China. Anything you want to add to that? On intelligence, forgive me if I don't. I mean, we're very proud of these businesses. I said to a number of parties during the discussions around Informa – around the Pharma Intelligence business, we are a reluctant, but extremely proud seller. And I would say exactly the same applies to the remainder of the businesses. 58:19 These are very fine businesses, doing extremely well. We spent 6 years to 7 years turning them into real things with real datasets, with real brands, with real talent, with a real sense of who they are and what they are. And for the right buyer, they will be a valuable addition. And I think we're getting confidence in our engagement with the process, but we're not in a rush. And part of the reason why we front-ended with Pharma was, we had confidence in the value of Pharma, but you never know until you're in the market. 58:47 And at 1.9 billion, that gives us a lot of confidence. So, we can be a very reluctant and proud seller for the remainder of the process and we will continue to be so. On pricing, I mean, it varies – it's very difficult to give you a generic answer, but the generic answer is, essentially our 2022 prices are 2019 prices. I mean, it's not quite as simple as that, but that's a pretty fair way to describe it, would you agree Alex? 59:14 There are no places where we haven't put our prices up, but broadly speaking, not least because we were carrying quite a lot of deferred revenue. We weren't – or to put it more colloquially, the way to get your customers back on the horse isn't to say, and the first conversation I want to have with you is, the prices has gone up. 59:31 So, largely, we've stepped into 2022 focusing on participation rather than on price. And so, if you're looking forward to 2023 and 2024, the additional uplifts that we can see in the business are: more geographies will open, because whilst the current China problem is a problem, both for the people in China, most materially, but also for us, on a short-term basis, the difference is, we now have a global playbook of how do you get out of the Omicron spike. Whereas, when it happened first time around, no one quite knew what it was. 60:06 So, I think you'll have more geographies that open, there'll be more international travel, and that will then allow us, I think to return to pricing. And the level of carried deferred revenue is much lower. That answers your question. 60:19 Next question in the room, and then we'll take one on the call, Marianne.
Nick Dempsey: 60:28 Yeah. It's Nick Dempsey from Barclays. I've got three. So, you're pointing to unchanged guidance, but essentially, I think the implied revenue guidance range, excluding intelligence is about the same at the top end and somewhere a bit below 100 million higher at the bottom-end. So, basically squeezed up at the midpoint therefore. So, what’s given you the confidence to do that since December, given there's some uncertainties that you've been talking about Stephen? And the second question, on the £1 billion of cash returns, will you still do all of that even if you don't end up selling the Maritime business that one clearly going a little bit more slowly? And in the end, can we still think about a 50/50 split of buybacks and special dividends? 61:11 Third question just really housekeeping. How should we think about change in working capital in 2022, clearly it exceeded my expectations as an inflow in 2021? Are we going to swing the other way in 2022 there's lots of moving parts?
Stephen Carter: 61:25 Great questions. I will take the second. I'll touch on the first and I'll allow you to ask Gareth the third very pointedly, because I've asked the same thing Nick. On the second, on cash returns. Just to be clear, the Maritime disposal is not moving slowly because there's not market interest, it's moving third because we're doing it in order and there's a difference between those things. 61:52 So, we did Pharma first, we're now doing Finance Intelligence, and then we'll turn to Maritime. And part of the reason why we're doing that is because it allows the businesses to focus on what we need to focus on until we then need to focus on two things, which is a process. So, we're trying to minimize [business severance] [ph]. It's not a measure of end market interest, just to be clear on that. 62:16 Yes, I think we feel very confident that we will be able to meet our billion pound or up to a billion pound of returns to shareholders. On the method – on the 50/50, we have not changed our view, but this will not be news to any shareholder who is listening. We have had, I would say, certainly speaking personally and I think Richard and Gareth would validate this, I've had almost universal feedback from shareholders, which is, if the choice is between a buyback and a special dividend, I would [err] [ph] in favor of a buyback rather than a dividend. 62:52 We haven't changed our view on that, but that has been the very strong feedback we've had. So, we'll return to the method if you like, Nick, in June, once we've got passed the other side of the completion and the inflow proceeds from Pharma Intelligence, but the actual amount will remain committed to that. So, but I think there's an open question on method. 63:11 On revenue guidance, I'll just make one comment and then Gareth you might want to come in on the other half of revenue guidance that I miss and then the working capital. I think what’s giving us confidence is that, I mean, as you know well, the B2B market business is a long cycle business. So, you have a reasonable degree of forward visibility in the way in which the markets are trading. 63:40 And the only advantage of doing your 2021 results on March 15 is that we've traded quite a bit of the year and we've got a reasonable level of forward visibility through to the summer and we know what the shape of our portfolio is in the back two quarters and how it's framed geographically. The area, really where there's a question mark is around Mainland China, which is already inquired about and that's covered in our revenue range, top to bottom. But equally alongside that question mark, there are also some potential upsides in other areas. 64:18 There are other geographies that we've currently modeled to be slightly muted that we're beginning to see signs of coming back. Now, there's smaller geographies than Mainland, China, but there might be 8 or 9 of them, and 8 or 9 smaller geographies that all came back a bit. Well that can add up to 8 or 9 things can add up to a material balancing effect. 64:39 So, in the round, a combination of what we've traded, what we're seeing in forward booking, the progressive return in multiple smaller geographical locations for us that combination gives us some confidence in that range. And as I say, we've got some scope for absorbing a little bit of leakage in Mainland China. 64:59 So, anything else you want to add on that?
Gareth Wright: 65:00 Yes. I think first of all, to Nick, I agree with your summary of the movements, etcetera. I think that says what’s happened in terms of the numbers. Then in terms of your rational reason, agree with everything that Steve has just outlined. The only two things I'd throw in the mix there are that the 2021 finishing position is probably higher than what people had in terms of reported revenue coming out of the year. 65:24 And therefore, you don't need the growth to improve by much, but once you apply slightly higher growth to slightly higher finishing number, you're even better in 2022. So, just from a mathematical point of view, we've taken some benefit from that as well, but in terms of the commercials, I think as Stephen outlined the confidence of visibility we have over the 2022 revenue numbers going into the New Year. 65:46 Just on the working capital, I’d just touch on that. Is there a strong performance in 2021 about £150 million inflow over £200 million about a year-on-year. And some of that is absolutely from the receipt of 2022 advanced bookings and subscriptions in 2021, but how we'd see 2022 working is being broadly flat on the working capital, because you have that dynamic that you received some cash earlier in 2021, but you’ll also see continued, I think reinflation of live and on-demand events revenues, which will mean 2023 event cash will be received in 2022. 66:25 So, I think the mix effect will be slightly adverse at the start of the year, but will be positive at the end of the year. And therefore overall, we’d expect it to be neutral in 2022.
Stephen Carter: 66:40 Marianne, shall we take a question from the webcast?
Operator: 66:46 Thank you. [Operator Instructions] We’ll take the first question from Matthew Walker from Crédit Suisse.
Matthew Walker: 66:58 Thanks a lot everybody. Hope you can hear me? So, the first question is, you gave some guidance on forward bookings at around 76% for major events. If you had to think about what the guidance implies for overall events, so not just major events. So, basically everything for the year, what level versus 2019 would you be at or what range would you give? The second question is, you talked about the disposal proceeds of 1.5 billion roughly for the Pharma division, compared to 1.9 growth, [indiscernible] like a 20% gap, I thought the cap gains would be around 10%, so do you think the other disposals would also attract around 20% difference between gross and net proceeds?
Stephen Carter: 67:56 Okay. Are those your two questions Matthew?
Matthew Walker: 68:00 Yes, they are. Thanks.
Stephen Carter: 68:02 Okay. Could we have a little bit more volume. I don't know whether it's where the speakers are, but – or whether I'm just getting older. It could be both. I think Matthew’s first question was on participation range. I didn't fully hear it. So, I'm going – forward bookings, you want to take that one?
Gareth Wright: 68:18 Yes. So, I think on the major events, those are the ones that you get more forward bookings on, obviously is a range of dynamics [indiscernible] I should start in terms of your events, whether some things much forward booking you get. So, for example, [some one’s] [ph] have operated already in the year. Our [indiscernible] concrete, their strong forward re-booking events, something else might operate like, the Boat Shows, they re-book much closer to the event in the year. 68:45 So there’s not a sort of single homogenous view of how forward booking works in the events. The 76% number that we quoted is for the major events that do book forward. I don't think there's a kind of materially weaker [undervalue] [ph] if that's kind of the sense of your question Matthew, in the events as don't look forward just a different dynamic around the timing of the events, and how they work during the year. 69:12 So, overall, what we can see gives us real confidence about going into 2022, and what's not so forward booking doesn't impact that confidence by giving us a different view, if that makes sense overall?
Stephen Carter: 69:27 Thanks. On your disposal process, I mean, Gareth come in, my answer would be, I mean, the finance – if I understand the question is really a tax question. Is I think the finance businesses are predominantly U.S. based businesses, and so I suspect the tax impacts would be comparable. Maritime is a little bit more diverse and so might be slightly lower, might be near a 15% and 20%, but for modeling purposes, I would say 20% is very sensible.
Gareth Wright: 69:56 Overall., yeah. I think we would say that both – Pharma is going to incur the most tax of the three transactions and that's why to Matthew’s question, this is a bigger gap, a bigger leakage that’s actually be applied to the others. I'd say no. Stick to the 20% overall, and, sorry stick to 10% overall, sorry, not 20%, 10% overall. And then Pharma will be higher than the other two.
Stephen Carter: 70:21 Does that give you clarity Matthew?
Matthew Walker: 70:27 But if the Pharma one is by far the biggest one, and it's attracting a 20% tax rate, then it's going to be difficult to get down 10% for the overall rate?
Gareth Wright: 70:40 Sorry, Matthew. I'd slightly confused you there. What I was saying is that 10% tax rate overall for all three businesses, Pharma is slightly higher than the average, the other three are slightly below the average.
Matthew Walker: 70:53 Okay Thank you.
Stephen Carter: 70:54 Okay. Thanks, Matthew. Could we have one more question from the call. And can we just keep an ear on the volume if we could when the question is coming? Marianne, we'll take another question.
Operator: 71:06 There are no current questions on the phone. [Operator Instructions]
Stephen Carter: 71:12 We'll take more questions in the hall.
Adam Berlin: 71:19 Hi, good morning. It's Adam Berlin from UBS. Three questions for me, if I can. Maybe squeeze in a fourth. So, just to confirm on China then so, am I right in saying that, in the top end of the revenue guide, is about £200 million of China revenue, and then we have to see how the year pans out of how much that 200 million we get, or is that roughly the right number? Second question is, can you talk a little bit about how the Ukraine crisis has impacted your business at all? Obviously, not within Russia and Ukraine, where you don't have [indiscernible], but have you seen any drop-off in attendance or people's willingness to travel, any drop in forward bookings in a few weeks since the crisis began? 71:58 And the third question I wanted to ask is on the academic publishing, can you talk about how the Pay to Publish model was growing, how fast the revenues grew in 2021? I'm really interested in your view on why do you think authors are increasingly choosing to publish in this new channel rather than the old channel of the subscription model?
Stephen Carter: 72:20 And the fourth?
Adam Berlin: 72:21 [Indiscernible] Okay.
Stephen Carter: 72:24 Don't want you to feel short changed. Annie I might come to you on Pay to Publish if you're okay. So, if we can give Annie and like as well. Yes, you're correct, roughly 200 on Mainland China. So that's not Hong Kong, which is Mainland in China. And so you've just got to kind of take a view on risk. And if you want to take the most pessimistic view, it's a completely, it's a zero number because the entire Mainland China will stay close for the entirety of 2022. 72:55 I mean, it's a perfectly legitimate scenario, but it's not been our experience of 2021 or 2020. And in both 2020 and 2021, there was less knowledge about how do you manage your way through these circumstances. So, I think that would be an overly pessimistic view, but it's a legitimate view. If you take a midpoint view, that's half of it, and a half of it, you've got the range. 73:19 So therefore, I think that's how we've thought about it for the purposes of guiding the market. Hope that's helpful. On Ukraine, the answer is not currently, but it's – if you can answer this question in this sort of environment, it's a not currently. We don't know. But we're not – our business is not trading in that vicinity, and we have no exposure to sectors that would be directly affected. 73:50 If you look at our verticals, they are – we're not in oil or energy or commodities in a way that you would feel that, sort of immediate impact, but obviously, I don’t think we need to get into scenario options there, but not currently. 74:06 On Pay to Publish, Annie?
Annie Callanan: 74:08 Yeah, It's a great question. The choice around business model for researchers is really in some cases dictated by the funder and the range of options that the funder prefers., but in many cases, when it is a choice, certain domains and certain subjects lend themselves to the open model, what we call open research because there's more rapid innovation and updating of knowledge and the faster that new research gets into the market, the more impactful it can be, and we saw that really over the last two years with COVID where virtually all of the research was open and the industry was able to iterate a lot faster. 74:55 So, it's increasingly a very viable choice for many researchers, particularly in subjects that are rapidly emerging with new knowledge.
Stephen Carter: 75:12 Perfect. I'll look – question in the front here.
Unidentified Analyst: 75:22 Morning. Sarah Simon from Berenberg. So, just following up on the scientific publishing model, can you give us a sense for how much of your Pay to Read revenue comes from institutions that may not publish? That will be the first question. On the shift to lead or the addition of the lead generation business, did I understand correctly that essentially, you're looking in terms of the bolt-on deals, more at content rather than tech. So, it's almost like back to B2B publishing. [Multiple Speakers] If you stay say here long enough, it'll come back again. 76:02 Is that more the direction you're going or is it more about tech? And just on the lead generation, I think this was asked in CMD, but I've probably forgotten. Who are the main competitors for you in that business?
Stephen Carter: 76:17 In Legion?
Sarah Simon: 76:17 Yeah.
Stephen Carter: 76:18 I used to work with someone who used to say that my fashion sense was a bit like that. If I kept wearing this [indiscernible] eventually it would come around again. I mean, to take your second question and then I'll bring Annie in on the first one as well, if I may? 76:32 I don't think we’ve fully decided, it is the honest answer to that. So, I wouldn't say it's a binary thing. Are we going to focus all of our attention on enhancing our content portfolio, or are we going to focus solely on what you might call a kind of neutral technology stack that would enable us to be able to serve up a database solution that integrates in somebody's workflow to enable them to do marketing programming on a self-service basis. 77:02 I suspect in truth, we'll do a bit of both, depending upon which vertical it is, which end market it is. We already have actually a much bigger content portfolio, then I think people realize. I mean, at a very, very simple level, I'm going to overstate here, so I'm probably wrong. But there are a large number of our B2B event brands that publish content literally around the event. 77:31 There are quite a number of the verticals that own meaningful B2B media brands that operate purely as digital brands now. And we have augmented some of those significantly over the last few years. And we indeed derive non-trivial revenues from media and marketing services today. 77:54 So, you're correct to say that there is a little bit of a [Groundhog Day] [ph] going on and that there's been a rebirth in the value of specialist content. And there are some interesting businesses, some of which I suspect you know, as well as I do so that are specializing that are pure play born today, B2B content publishers as opposed to legacy B2B publishers who reinvented themselves. And we're looking at that, but equally we're also looking at technology solutions and service solutions, and I suspect it will be a mix. If that gives you an answer? 78:29 Who are our competitors? Well, that very much depends which bit of the market you choose to play in and probably the most visible competitor that people often play back to us is in the enterprise technology market would be tech target, because they are kind of living breathing listed example of a rounded provider of services to the enterprise technology end market, and they have got content, technology, service solutions, and a priority data and [indiscernible] which is doing material things for the end customers. 79:11 That would be probably the kind of go to example that people use, but there are many others. Most of them integrated either inside other businesses or held privately. And we are currently scoping and reviewing a whole range of those businesses. 79:28 On scientific publishing, I don't know if we've ever actually published the data that breaks down, but Annie do you want to…?
Annie Callanan: 79:35 We haven't published specific data, but generally speaking, if you look at the profile of the customers that subscribe to our Pay to Read content, they represent the full range of academic libraries globally that both are research intensive, but also learning institutions. However, from a funding standpoint, it does skew towards the research organizations that are heavily investing in research, but in terms of number of institutions, it's actually well balanced across the entire portfolio. I don't know if that answers your question.
Stephen Carter: 80:16 Marianne, any other questions on the webcast?
Operator: 80:22 Yes. We do. We'll take our next question from Tom Singlehurst from Citi.
Tom Singlehurst: 80:28 Yeah, good morning. Thanks for taking the question. It’s Tom from Citi, sorry to not make it, actually been [fooled] [ph] by the [indiscernible] line, which is, maybe a sign that things are getting back to normal. The question, two questions actually, one, I think I know the answer, I just wanted to double, triple check on Russia exposure. Are you also saying that within T&F, you've effectively got zero Russia exposure? And then I just wanted to make sure that in light of the comments in the Russian government there wasn't going to be a, sort of knock on effect from payments coming out of Russia for obviously content that's produced in the U.S., Europe, and the UK? That was the first question. 81:15 And then the second question was, I can't remember the exact wording Stephen, but you mentioned a pivot to new opportunities in Taylor & Francis. I'm just interested in what capabilities you're missing in order to exploit the benefits from that pivot and whether M&A spend will come back sooner rather than later, specifically within academic information? Thank you very much.
Stephen Carter: 81:43 Thanks, Tom. And sorry not to see you in person, but you're not the only person who have been fooled by the [indiscernible] line. I'll touch on both questions and bring Annie in again on the capabilities point. 81:56 I mean the short answer to your question is, you're correct. We have effectively zero to de-minimis counterparty exposure in any of our businesses to individuals or entities based in Russia and where we did or we had than we are clearing out in response to the sanctions regime. So, but the level of materiality for our business was really next to nothing. So, we have no real exposure there. 82:29 On T&F, yes, I mean, we are looking at, as we always do at M&A additions in the academic market business, both through an asset lens, where we always will look at assets that come to market, whether it be content assets or capability assets. And indeed, we have made investments in that business over the last couple of years, particularly in open research, but in terms of capabilities, which is largely I think an internal improvement rather than an acquisition solution, although it could be both. Annie do you want to come in on that?
Annie Callanan: 83:15 It's a great question. I think there are two core problems we're trying to solve in our knowledge services business. One is, really finding the best version of truth and really validating the content up to publication. And then from there, the aftermarket services of trying to synthesize, speed up and deliver these troops right into the points at which people need to make decisions around them. 83:44 And those are the two core value proposition, sustainable value propositions, and certainly everything we're looking at around organic and inorganic is based on adding value to those two core challenges.
Stephen Carter: 84:03 Tom, I hope that gave you answers. Marianne, do we have any more questions on the webcast?
Operator: 84:11 There are no further questions on the webcast.
Stephen Carter: 84:13 Okay. Does anyone have an hand finally in the room? Not to put you on the spot. Okay. Well, that calls it a day. And I thank you very much for those of you who have joined us on the webcast. I hope it was clear. Both the materials and the presentation to those of you who came here in person. 84:34 We believe in live, as well as on-demand. So, it's very nice to see. Thank you very much for making the effort. I hope that gave you a sense of both what we've done, but also the measured confidence, notwithstanding the macro environment that we have in the future of the company. And thanks for your time.